Operator: Ladies and gentlemen, greetings and welcome to the Grupo Aeroportuario del Centro Norte, OMA First Quarter 2025 Earnings Conference Call. At this time, all participants are in the listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Emmanuel Camacho, Investor Relations Officer. Please go ahead, sir.
Emmanuel Camacho: Thank you, [Zico]. Hello everyone. Welcome to OMA's first quarter 2025 earnings conference call. We're delighted to have you join us today as we discuss our Company's performance and financial results for the past quarter. Joining us today are our CEO, Ricardo Dueñas and CFO, Ruffo Pérez Pliego. Please be reminded that certain statements made during the course of our discussion today may constitute forward looking statements which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our control. And now I'll turn the call over to Ricardo Dueñas for his opening remarks.
Ricardo Dueñas: Thank you, Emmanuel. Good morning everyone. We appreciate your presence on this call today. This morning Ruffo and I will review our quarterly operational financial results and then we'll be pleased to answer your questions. In the first quarter of this year, OMA's passenger traffic totaled 6.4 million passengers, a 9.1% increase year-over-year. This increase was mainly attributable to an increase in seat capacity of 13.4% during the quarter. On the domestic front, passenger traffic grew by 8%, driven primarily by the Monterrey Airport, which saw increases on routes to Querétaro, the metropolitan area of Mexico City, including the Mexico City, AIFA and Toluca airports, Hermosillo, Ciudad Juárez, Guadalajara and Culiacán. These routes collectively added over 285,000 passengers during the quarter, representing 72% of the total domestic passenger growth. International passenger traffic increased 15.1%. This growth was also driven by the Monterrey Airport, with passenger traffic increases on routes to San Antonio, Chicago, Los Angeles, Orlando, San Francisco, Oakland, Miami, Austin and Denver. These routes collectively added over 132,000 passengers during the quarter, accounting for 94% of the total international passenger increase in the first quarter. During the first quarter, we launched 16 new routes, five of which were international. In terms of airline participation, VivaAerobus represented 49% of our total traffic during the quarter with an 11% increase in terminal passenger numbers compared to the first quarter of '24, while Volaris, which accounted for 22% of our total traffic recorded a 20% passenger increase during the quarter. Moving on to OMA's third quarter financial highlights. Aeronautical revenues increased 13.8% with aeronautical revenue per passenger rising 4.3% in the quarter. Commercial revenues had a strong double digit growth with commercial revenue per passenger growing 13% to Ps.66. As compared to first quarter of '24 driven by VIP lounges, restaurants and retail, VIP lounges benefit from higher access rates and a larger number of users as well as the effect of the previously opened lounges. The restaurant and retail line items benefited from the consolidation of new business units open across our airports during past quarters. Occupancy rate of commercial space stood at 96% at the end of the quarter. On the diversification front, revenues increased 22%. OMA Carga contributed most to this growth, mainly as a result of an increase in revenue related to air cargo operations in Monterrey. Revenue from industrial services increased 56.4% year-over-year, reaching Ps.42 million, primarily driven by a higher number of square meters leased in our industrial park. During the quarter we completed construction of a warehouse measuring about 9,200 square meters as well as 2,400 square meter expansion of an existing facility. Additionally, we are currently building a 5,000 square meters warehouse which we expect to complete in the second quarter of this year, OMA's first quarter adjusted EBITDA increased by 16% to Ps.2.4 billion and an adjusted EBITDA margin of 74.9%. On the capital expenditure front, total investments in the quarter, including MDP investment, major maintenance and strategic investments were Ps.502 million. Lastly, I want to mention that last Friday we held our 2025 Annual Shareholders Meeting where shareholders voted on several matters including the declaration and payment of a Ps.4.5 billion cash dividend. I would now like to turn the call over to Ruffo Pérez Pliego, who will discuss our financial highlights for the quarter.
Ruffo Pérez Pliego: Thank you, Ricardo and good morning everyone. I will briefly walk you through our financial results of the quarter and then we'll open the call for your questions. Aeronautical revenues increased 13.8% relative to first quarter of '24, driven primarily by higher aeronautical yields as well as increase in both domestic and international passenger traffic. Non-aero revenues increased by 20.9%, commercial revenues increased 22.8% and the line items with the highest growth were VIP lounges, restaurants and retail. VIP lounges rose 80%, mainly due to an increasing rates and higher number of users as well as the opening and the consolidation of the Zihuatanejo Lounge, which started operations last year. Restaurants increased 32.8%, driven by greater customer penetration and the opening or replacement of outlets in previous quarters in airports such as Monterrey, Ciudad Juárez and Lulango. Retail increased 50.9% as a result of the contribution of new spaces opened or replacement of existing spaces in previous quarters, as well as a higher penetration primarily in airports like Juárez, Monterrey, Torreón and Culiacán. Diversification activities increased 22% mainly due to high revenues from OMA Carga and the Industrial Park. Total aeronautical and non-aeronautical revenues grew 15.6% to Ps.3.1 billion in the quarter. Construction revenues amounted to Ps.403 million in the first quarter, a decrease of 60% as a result of lower MDP investment execution. The cost of services and G&A expense increased 10.2% year-over-year, primarily due to a 42% rise in other costs and expenses. Payroll increased by 9.9% while contracted services grew 8.8% mainly due to higher costs for security and cleaning services following contract renewals in prior quarters. Concession tax increased 16% to Ps.259 million in line with the increase in revenues. Major maintenance provision was Ps.53.4 million as compared to Ps.71.3 million in first quarter of '24. As Ricardo mentioned, OMA's first quarter, adjusted EBITDA was Ps.2.4 billion and adjusted EBITDA margin reached 74.9%. Our financing expense reached Ps.312 million, an increase of 13% mainly due to a lower interest income as a result of lower average cash balance during the quarter as compared to the same period of the last year. Consolidated net income reached Ps.1.3 billion, which showed an increase of 19.7% versus a first quarter of '24. Turning to our cash position, cash generated from operating activities in the first quarter amounted to Ps.1.9 billion and cash at the end of the quarter stood at Ps.2.3 billion. At the end of the quarter, total debt amounted to Ps.11.3 billion. We maintained a strong balance sheet, ending the quarter with a net debt to adjusted EBITDA ratio of one time. This concludes our prepared remarks. Zico, please open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] The first question comes from Alan Macías with Bank of America. Please go ahead.
Alan Macías: Hi, good morning and thank you for the call. Just a question on your expectations for traffic. Traffic in Monterrey has continued to be very strong. I understand there's more capacity, but how are you looking at demand? And how was April so far? Thank you.
Ricardo Dueñas: Hello, Alan, thank you for your question. Yes, first quarter traffic was looking good numbers April, Remember April, we're going to have the holidays, the holy week on April. We didn't have that one last year. So month-to-month the numbers are going to be good. We're still looking at the same expectation as we mentioned on the previous call, somewhere around the mid single digits. We are cautious for the rest of the year as we're monitoring the macro landscape and the international news coming there.
Alan Macías: Thank you.
Operator: Thank you. The next question comes from the line of Pablo Monsivais with Barclays. Please go ahead.
Pablo Monsivais: Hi, thanks for taking my question. This is just a more broad question, but in case that your MDP has low CapEx requirements and you don't have major investment opportunities abroad, what do you think the right strategy for dividends will be for OMA going forward? Thank you.
Ruffo Pérez Pliego: Hi, Pablo. So over the past few years we have try to distribute as much cash as possible to shareholders in the form of dividends. That strategy, I don't think it's going to change in the foreseeable future. So as we are able to generate higher free cash flow, that should be translated into higher dividend distributions.
Pablo Monsivais: Thank you.
Operator: Thank you. The next question comes from Jens Spiess with Morgan Stanley. Please go ahead.
Jens Spiess: Yes, hello. Congrats on the results. I have two questions. The first one is on capital allocation. CCR, as you probably know, selling their assets -- some of their assets in Brazil. Would you be interested in those assets or part of those assets or all of them? It would be much appreciated if you could give any perspective on that. And my second question is on the traffic guidance. We're seeing that the low cost carriers have retrenched some of the capacity. Volaris, Viva. But still things are pointing to quite good capacity increases for you guys for the rest of the year, maybe double digits. So your guidance does surprise me a bit. Maybe could you elaborate how conservative you're being? And even if things kind of collapse in the second half of the year due to the macro environment wouldn't that, like set the stage better for you guys compared to the other airport operators? Because it would lower the base of like your traffic that you will be settling or negotiating in your next MDP? Thank you.
Ricardo Dueñas: I'll take the first. The first one, yes, we took a look at the CCR assets, but at the moment we decided not to participate on that process. For the second part, Ruffo.
Ruffo Pérez Pliego: Yes, the capacity situation is somewhat volatile. There were some announcements made last week and some capacity cuts are being reflected starting May and June by some of the low cost carriers. Remember also that in fourth quarter of '24 several routes were open. So there will be a much higher base of comparison in the fourth quarter as well. So yes, it might be a bit conservative, but there are some uncertainties and we don't want to be overoptimistic on capacity growth at this time. And regarding your second half of your question on -- if this is going to benefit us in MDP negotiation that will occur towards the second half of the year, remember that the current formula looks at the tariff, sorry, at the traffic for the first five years and actually through 2040 in our case. So any minor changes in capacity in a certain year wouldn't move that much the needle when you are looking at the next 15 year traffic forecast. So I don't think it's going to be necessarily a huge positive to have a lower traffic expectation this year.
Jens Spiess: Okay, perfect. So it probably helps in the negotiations, but only marginally. Perfect. I appreciate the clarity. Thank you.
Ruffo Pérez Pliego: Thank you.
Operator: Thank you. The next question comes from Alberto Valerio with UBS. Please go ahead.
Alberto Valerio: Hi, thank you gentlemen for taking my question. My question is on non-aeronautical revenues per tax was strong this quarter, a jump from fourth quarter last year and also year-over-year from the first quarter. I'm wondering if you can see another jump for the following quarters or will be something more stable inflation index for looking forward for that line? Thank you.
Ruffo Pérez Pliego: Yes, I think that the results in extra aero reflects the strategy that we have been implementing over the last couple of years, especially since VINCI acquisition. For the next quarters in terms of commercial revenue per passenger, we expect a similar outcome as to the first quarter and most likely in 2026 we'll see a higher yield as the new spaces in Monterrey starts to be opened.
Alberto Valerio: Perfect. Those spaces will be open before World cup, isn't it?
Ruffo Pérez Pliego: Yes, Correct.
Alberto Valerio: Perfect. Thank you very much gentlemen.
Operator: Thank you. The next question comes from Pablo Ricalde with Itaú. Please go ahead.
Pablo Ricalde: Hi, good morning. Congratulations on results. I have two questions. The first one is on the routes. I remember when your new partner came in VINCI, there were like all these plans of adding new routes, like long haul roots. Is that still on table or given all these macro concerns? That's on hold for now. And my second question on Industrial Park.
Ricardo Dueñas: Can you start again?
Operator: Sorry to interrupt you, Mr. Pablo. Maybe the question you use your handset please.
Pablo Ricalde: I don't know if you can hear me now.
Ricardo Dueñas: Yes, we can hear you.
Operator: Yes sir. Please go ahead.
Pablo Ricalde: So my first question is on the new routes. I remember when VINCI came in there was like all these plans of adding new routes, like long-haul routes. Is that still on the table or that's on hold for now?
Ricardo Dueñas: In terms of new routes opened, we have a constant dialogue with airlines. We are focusing both in building our international connectivity and the increase that you saw in the last few quarters, particularly from Monterrey Airport, point towards that strategy of building good connectivity out of Monterrey. But we also have two strong players in the local market and therefore we also focus on building greater regional connectivity.
Pablo Ricalde: Okay, thanks.
Operator: Thank you. The next question comes from the line of Jay Singh with Citibank. Please go ahead.
Jay Singh: Thanks for taking my questions. Jay, dialing on for Stephen Trent. First thing I want to ask is, do you see any regulators pushing to adjusted TUA at Mexico City airport? And to the extent that you could talk about it, maybe could this have any tariff implications for OMA?
Ricardo Dueñas: Sorry, the question again, the regulator pushing TUA, again?
Jay Singh: TUA just airport use fees at Mexico City airport?
Ricardo Dueñas: Well, the TUA for Mexico City airport is set in dollars and it increases by US CPI inflation. We have not heard that process or mechanics of adjustment is going to change. So I believe that's adjusted at the beginning of every year. So probably the adjustment already took place in January and we wouldn't expect increase TUAs in the Mexico City airport for the rest of the year.
Jay Singh: Okay, got it. And my second question is how much do you interact with VINCI on strategic matters such as the MDP or any potential foreign investments?
Ricardo Dueñas: We have a very close communication with them. They're involved in the MDP, of course in non-aero, they have been very active, in CapEx execution as well. So it's a very close communication with them.
Jay Singh: Got it. Thanks so much, gentlemen.
Operator: Thank you. As there are no further questions, I would now like to hand the conference over to Ricardo Dueñas, CEO for closing comments.
Ricardo Dueñas: We would like to thank everyone for participating in today's call. We appreciate your insightful questions, engagement and continued support. Ruffo, Emmanuel and I are always available should you have any further questions or will require additional information. Thank you once again and have a great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.